Operator: Hello, and welcome to the OUTFRONT Media Third Quarter 2025 Earnings Call. My name is Carla, and I will be coordinating your call today. [Operator Instructions] I will now hand you over to your host, Stephan Bisson, to begin. Please go ahead when you're ready.
Stephan Bisson: Good afternoon and thank you for joining our 2025 third quarter earnings call. With me on the call today are OUTFRONT's CEO, Nick Brien; and CFO, Matthew Siegel. After a discussion of our financial results, we'll open the lines for a question-and-answer session. Our comments today will refer to the earnings release and slide presentation that you can find on the Investor Relations section of our website, outfront.com. After today's call has concluded, an audio archived replay will be available there as well. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings, including our 2024 Form 10-K as well as our Q3 2025 Form 10-Q, which we expect to file tomorrow. We will refer to certain non-GAAP financial measures on this call. Any references to OIBDA made today will be on an adjusted basis. Reconciliations of OIBDA and other non-GAAP financial measures are available in the appendix of the slide presentation, the earnings release and our website, which also includes presentations with prior period reconciliations. With that, let me hand the call over to Nick.
Nicolas Brien: Thanks, Stephan, and thank you, everyone, for joining us today. We're pleased to be here today reporting our third quarter results, which came in ahead of where we had anticipated when we spoke 3 months ago, given a sizable increase in demand, particularly within our transit business. As you can see on Slide 3, which summarizes our headline numbers, consolidated revenues were up 3.5%, driven by 24% growth in transit, while consolidated OIBDA was up 17% to $137 million, and AFFO was up 24% to $100 million. Slide 4 shows our more detailed revenue results. Billboard revenues were down 2.2%, primarily due to our previously announced exit of 2 large marginally profitable billboard contracts in New York and L.A. as the revenues and expenses of these contracts are still included in our reported 2024 financial statements. Excluding the results of these contracts, billboard revenues would have been up a little over 1%. Transit grew an impressive 24%, led by the New York MTA, which was up a massive 37% during the quarter, given the launch of several large campaigns, particularly within the tech, finance, CPG, pharma and health categories. Slide 5 shows our detailed billboard revenue, which, as I mentioned earlier, was impacted by the 2 large billboard contracts we've exited. On a reported basis, static and other billboard revenues were down 2.5% during the quarter and digital billboard revenues were down 1.4%. However, I believe it is important to note that excluding the results of the 2 large billboard contracts we exited from the comparable prior year period, digital revenues would have been up over 5%. Slide 6 shows our detailed transit revenue, which grew nearly 24% during the quarter. Our digital transit revenues were up over 50% to $56 million and static revenues were almost up 4%. Much of the strength of this quarter was driven by larger brands with enterprise transit revenues up over 30%. Commercial was also a significant contributor to transit growth, up high single digits during the quarter. We are immensely proud of these results, which have been driven by the strengthening of our transit growth team and a focus on distinct go-to-market sales solutions. On a consolidated revenue basis, our stronger categories during the quarter were legal, financial, tech and travel. The weaker categories during the quarter were retail, alcohol, and government political. Slide 7 shows our combined digital revenue performance, which grew over 12% in the quarter and represented 35.4% of our total revenues. Even more impressive, excluding the aforementioned New York and L.A. contracts, digital revenues would have grown by nearly 18%. Programmatic and digital direct automated sales were up nearly 30% during the period and represented 19.4% of our total digital revenues, up from 16.8% in the same period last year. While on the topic of programmatic and digital, I'd like to highlight the strategic partnership that we announced with AWS last month, which we believe will usher in a new era for the out-of-home medium. In a first for the industry, this initiative will enable the planning, buying and measurement of our inventory from end to end, creating new sales opportunities and advancing a way agencies and brands can access, interact, transact and measure their media in smarter, more efficient ways. While we are in the early days of these partnerships, we're very encouraged by the opportunities and are extremely excited about its future potential. Moving on, the breakdown of commercial and enterprise revenues can be seen on Slide 8. Enterprise grew by 7% during the third quarter with a huge 30-plus percentage point increase in transit, I previously mentioned, being offset by a mid-single-digit decline in billboard. Commercial was essentially flat year-on-year during the quarter with high single-digit transit growth, offset by slightly weaker billboard revenues. Slide 9 shows our billboard yield growth, which was up about 1.4% year-over-year to over $3,000 per month, driven primarily by our new digital inventory. Summing up, we were pleased with our quarter 3 performance. And encouragingly, we are seeing these strong top line trends continue into the fourth quarter. With that, let me now hand it over to Matt to review the rest of our financials.
Matthew Siegel: Thanks, Nick, and good afternoon, everyone. Please turn to Slide 10 for a more detailed look at our billboard expenses. In total, billboard expenses were down nearly $11 million or almost 5% year-over-year. Zooming in on lease costs, these expenses were down almost $9 million or about 7.5% year-over-year. This decline includes approximately $10 million related to the large billboard contracts in New York and Los Angeles that we exited, which was partially offset by the contractual escalators on fixed leases. Excluding the impact of the portfolio exits, billboard property lease expense would have been up less than 1%, which reflects our continued portfolio management efforts. Posting, maintenance and other expenses were up just under $2 million or 4.5% due to higher production costs and compensation-related expenses from regular annual merit increases. SG&A expenses declined by about $3.6 million or 5.3% due primarily to lower credit card usage by customers, lower compensation-related expenses following our June RIF and a lower provision for doubtful accounts. This nearly $11 million improvement in total billboard expenses was partially offset by the modest decline in billboard revenues Nick described earlier and led to billboard adjusted OIBDA increasing by about $3 million or 2.1%. We are pleased to see billboard adjusted OIBDA margin increase again this time by 170 basis points year-over-year to 39.5%, helped by recent portfolio management decisions as well as the geographic mix of revenue generated in the third quarter. We continue to expect billboard margins will improve on a year-on-year basis for the remainder of 2025. Now turning to transit on Slide 11. In total, transit expenses were up about $2.9 million or a little over 3% year-over-year. Transit franchise expense was up 2% due primarily to the annual inflation adjustment to the MAG for the MTA contract. Posting, maintenance and other expenses were up about $2 million or about 13% due primarily to higher maintenance and utilities costs. SG&A expenses were down $300,000 or about 2%, primarily due to lower credit card usage by customers. The 3% increase in total transit expenses, combined with the nearly 24% transit revenue growth described earlier, led to a transit adjusted OIBDA improving by more than $18 million during the quarter to a profit of nearly $16 million. Slide 12 shows the company's combined billboard transit and corporate adjusted OIBDA in the third quarter. Corporate expense rose by about $2 million due primarily to higher professional fees, including a management consulting project that ended on August 31 and costs related to the refinancing of our senior credit facilities. Combined with the billboard and transit OIBDA I covered earlier, adjusted OIBDA totaled about $137 million, up nearly 17% compared to last year. Much of this increase is attributable to our improved performance within the New York MTA as incremental revenue growth within this important franchise is extremely high margin. Turning to capital expenditures on Slide 13. Q3 CapEx spend was about $21 million, including about $6 million of maintenance spend. We converted 29 new boards to digital in Q3 2025. For the full year, we still expect to spend approximately $85 million of CapEx with $30 million to $35 million of this total expected for maintenance. Looking at AFFO on Slide 14, you can see the bridge to our Q3 AFFO of $100 million. The improvement is principally driven by higher billboard and transit OIBDA, which was partially offset by higher corporate expense. Also, I'm pleased to tell you we are raising our AFFO guidance for the full year and now expect that our reported 2025 consolidated AFFO will grow in the high single-digit range versus our prior mid-single-digit expectation. Included in this guidance is the previously noted maintenance CapEx, interest expense of approximately $140 million to $145 million and a small amount of cash taxes. Please turn to Slide 15 for an update on our balance sheet. During the quarter, we refinanced our senior secured credit facilities, which pushed the maturity of our term loan from November 2026 to September 2032 and increased the size by $100 million to $500 million. We also extended the maturity of our revolving credit facility to 2030. Committed liquidity is over $700 million, including about $60 million of cash, around $500 million available by our revolver and $150 million available by our accounts receivable securitization facility. As of September 30, our total net leverage dropped to 4.7x within our 4 to 5x target range. Turning to our dividend. We announced today that our Board of Directors maintained a $0.30 cash dividend payable on December 31 to shareholders of record at the close of business on December 5. We spent just $2 million on acquisitions during the quarter. And looking at our current acquisition pipeline, we continue to expect our 2025 deal activity to be similar to levels reached in recent years. With that, let me turn the call back over to Nick.
Nicolas Brien: Thank you, Matt. As I mentioned earlier, the top line strength we saw in the third quarter has continued into the fourth. And from where we sit today, we expect fourth quarter revenue growth to improve slightly from quarter 3's results with consolidated revenues up in the low, mid-single digits, driven by mid-teens growth in transit and low single-digit growth in billboard. These figures include the headwind created by our strategic decision to exit the 2 large marginally profitable billboard contracts in New York and Los Angeles. Excluding the $11 million of billboard revenue generated by these 2 exited contracts in the fourth quarter of 2024, we believe quarter 4 billboard revenues would be up mid-single digits and consolidated revenue would be in the mid- to high single-digit range. Just as important as the numbers themselves is what lies behind them. The media and marketing landscape continues to undergo a massive sea change, born of GenAI content capabilities and the rise of the media planning LLMs. We are witnessing major brand advertisers retrench from the bottom of the funnel digital performance advertising seeking to strengthen their brand equity while improving overall business performance. They know that creating emotional brand experiences that are remembered and shared are the most trusted forms of marketing activities. There is no better way to deliver these engaging and unskippable brand experiences than in real life. OUTFRONT is the premium out-of-home leader in the U.S. with excellent assets and IRL brand-building capabilities in the most important markets for the -- our advertisers to participate in culture and create communities of loyal fans and advocates. Our scale, coverage and breadth of services enables us to do full funnel marketing campaigns across the U.S., whether you're a Fortune 500 brand, a regional bank or a local family-owned auto dealer. We're starting to break through with many of the largest brand marketeers as they would reconsider the power and value of out-of-home and IRL in today's AI-fueled digital advertising ecosystem. And with that, operator, let's now open the lines for some questions.
Operator: [Operator Instructions] And our first question comes from Daniel Osley with Wells Fargo.
Daniel Osley: A question for Nick. You previously described 2025 as a year of transformation. As we exit this year and look towards '26, how do you think the company is positioned compared to your strategic objectives?
Nicolas Brien: Well, thank you, Daniel. I appreciate that question. I appreciate you remembering that we were very clear in my first earnings call with the 4 strategic imperatives that we saw as absolutely critical to deliver the transformation velocity. I've been very, very impressed with the team, both some of the existing leaders in the organization as well as some of the new talented leaders we have attracted to really focus on the most important things that matter. And the results we are hoping to demonstrate they're showing themselves to you in quarter 3. We've given you an increase in our guidance for quarter 4, and the momentum continues. So everything we put in place around our culture, our sales enablement, our technology underpinning, our basic operational excellence across the board sets us up to continue the momentum that the transformation velocity agenda, the strategy we set with the Board is being executed. And executed with real focus and with impressive results starting to show.
Daniel Osley: That's helpful. And a quick follow-up, if I may. On quarter 3, transit growth in the quarter was clearly very strong. Can you help to further unpack the drivers of the momentum you've seen there? And maybe touch on expectations for how you think growth shapes up into next year?
Nicolas Brien: Well, we're extremely pleased with the transit focus, and it was a combination of the 3 things we set, we mentioned earlier. One was the creation of the transit velocity team, led by a dedicated growth leader across both sales and marketing, a real focus on the product marketing details to do with all aspects of transit, especially with the New York MTA. And then dedicated campaign focus with some of the most exciting brands to be able to say that the MTA is a platform for creating these brand experiences in real life as opposed to only running ads. Now we have been focused on both, but we're starting to see that kind of momentum when I look at the work that sees an existing right now today within the New York MTA between the Bath & Body Works, where they have the experience that they've created around smell. I mean the full takeover, the combination of advertising and experiences, what we did with ESPN, with E Train, we turned it into the ESPN Train. We took the leadership all the way down to Wall Street. They rang the bell. It had their mascots, it had their fans. The MTA and not just the MTA, but all of our transit assets allow us to really talk to some of the biggest brands that have very high brand awareness. They may not want more brand awareness, but they certainly want the brand experiences that can be shared, they can be amplified and they're certainly highly memorable with existing customers and with prospects. So I think the team are enjoying the success. They've worked extremely hard to deliver it. So again, that combination of focus, the combination of further research and capability setting for the sales teams and as importantly, demonstrating the results of these campaigns in terms of whatever the success metrics the clients have put in place at the beginning. So we have nothing but confidence that the momentum will continue.
Operator: The next question comes from Cameron McVeigh with Morgan Stanley.
Cameron McVeigh: Nick, I was hoping you could talk a little bit more about your decision to restructure the sales function and particularly in transit, maybe what you've learned? And then secondly, is someway ridership still a factor in the advertiser's decision to utilize these MTA boards? If not, curious what the most important metric there is.
Nicolas Brien: Okay. Well, thank you, Cameron. Thank you for the question. Let's start with the first one. The restructuring of the sales organization was to recognize that between enterprise and commercial that we knew we had a different level of sophistication in terms of the kind of conversations we were having with the different kind of clients. And we needed to have a more specific, custom and qualified sales conversations with the strategic accounts, with the enterprise accounts. And then we recognize in the commercial side, and don't forget, this was an industry that's always been called national to local, which I always felt coming in again from the outside, not a seller, somebody who's been a strategic buyer and agency leader with some of the biggest brand marketers in the world, it was too unsophisticated. And in commercial, we have regional, and we have the small and medium businesses. And we recognize that we needed to create that focus and the unique capability set because the way you engage with a Coca-Cola or McDonald's, Procter & Gamble is very different to dealing with a Tier 4 auto dealer or a regional bank that wants to extend through acquisition. So that was the rationale between the restructuring of the sales organization despite the fact that we were going to underpin from a cultural point of view, a technology point of view, a data point of view, the capabilities would be there to support both. Now when it came to transit, that's not a dedicated sales change. That's more recognizing that the product marketing and the dedicated focus of that sale required a more -- a different approach to just saying it's a mobile billboard. This was -- this is the fabric of major cities, whether it be San Francisco, whether it be L.A., whether it be Boston, certainly in New York City. And we basically gave more dedicated organization around the growth team that was a combination of sales, marketing, product marketing and customer success. And that's why we've seen that kind of continued momentum. When I look at those clients, Capital One, Chase, the work we've done with Unilever. What's on the front cover you see there with Swiffer and what we did with them. I mean these are major brands coming to the medium, and they're recognizing that the transit medium is something that's exciting and more specific for them. So it's really about focus and about capabilities, but it falls within the same structure between enterprise sales and commercial sales. And both have as relevant an opportunity to imagine how their respective brands and marketeers would want to use the -- our transit medium.
Operator: So the next question comes from David Karnovsky with JPMorgan.
David Karnovsky: Nick, maybe as you look ahead to '26, I just wanted to get your view on an outlier event like the World Cup, given your footprint and how you're kind of viewing also just the entertainment vertical and the prospect for more recovery there.
Nicolas Brien: Okay. Well, thank you, David. Thank you for the question. Let me start with the second one first. I think the entertainment category is clearly one that has been discussed a lot and very publicly discussed in terms of the implications. And there's certainly the highlights, there's highs and lows. I mean the lows that we've recognized in 2024 have really more to do with the network. When we think about entertainment, we think about ABC, NBC, Fox, these kind of network full launches, they're not disappearing, but they're certainly not extensive as they were. When we look at quarter 4 entertainment in summary, there is less content. There are shorter media spend windows and the budgets are smaller. However, even though we recognize that TV has been suffering in entertainment, we've got highs for 2026 that we're pretty excited about in the sense that the strike, when we think about '22, '23, a lot of that production got moved to '24. I've personally had a number of conversations with some of the most significant studios here with our -- in L.A. with our Head of our Entertainment practice. And the general feeling is really that it's going to be a healthy 2026 for both film and streaming. There's a good slate on the docket. So we're feeling positive about that. And I think when we talk about entertainment, we're talking about those are the brands that we really want to be focusing on making sure that our strength of relationship means we're extending share, obviously, from our competitors as well. So hopefully, that provides you the perspective on the entertainment sector.
David Karnovsky: And on the first part of the question, about World Cup?
Nicolas Brien: Well, we're very excited about the World Cup. I mean we've got a number of significant conversations going on with some very significant enterprise brands who have committed significantly to World Cup, to Olympics to generally a lot more sports sponsorship that they want to activate. We are one of our most progressive real estate leaders who had advanced some very good conversations during the Super Bowl in New Orleans to extend the opportunity with temporary permitting to allow some of the biggest NFL sponsors to really get behind extending what they could do beyond in stadium. And that was a huge success for us. I think we generated between $7 million to $8 million incremental revenue. So we're extending that practice. We've now turned that into a line of business. So when we're talking about brand experiences, and this is the thing that is one of the biggest opportunities this medium has and certainly we're seizing on, which is there will always be those advertisers who want to run ads and they want to build their brand exposure. There are many of the more sophisticated, well-known global brands that have all the awareness in the world. They're not interested in more exposure. They're interested in these brand experiences that enhance their brand equity in a really dramatic way. This team, we put together a dedicated team to really focus on those brand experiences from a real estate point of view, from a strategic point of view, from a creative point of view and from a measurement point of view. And we're having conversations with a number of the experiential agencies, the biggest ones that are out there independent and owned by the holdcos about how they can look at our medium and imagine that we can help co-create these IRL experiences. So we feel bullish about it. Too early to talk about the conversations we're having, but they're extensive. So we're feeling good about World Cup specifically.
Operator: [Operator Instructions] And our next question comes from Patrick Sholl with Barrington Research.
Patrick Sholl: I was just wondering if like the government shutdown has had any impact on ad trends, whether across billboard or static and just the general, if that's affected any of those planning decisions on the part of your advertisers?
Matthew Siegel: Pat, it's Matt. I'll take that one. We really haven't seen any material impact from the government shutdown. Obviously, the population in D.C. isn't fully in the office at this point, but we're not seeing the impact on our transit properties there.
Operator: [Operator Instructions] And as we have no further questions in the queue, I will hand back over to Nick for any final comments.
Nicolas Brien: Well, thank you, everybody. And we really always appreciate you joining us today. And certainly, we hope to see and meet many of you at the various conferences and events this winter. But for those that we don't, we look forward to presenting our quarter 4 results to you in February. Thank you all very much.
Operator: Thank you, everyone. This does conclude today's call. Thank you for joining. You may now disconnect. Have a great rest of your day.